Operator: Thank you for standing by. My name is Rebecca, and I will be your conference operator today. At this time, I would like to welcome everyone to the Seadrill Fourth Quarter 2025 Earnings Call. [Operator Instructions] I will now turn the call over to Kevin Smith, Vice President of Corporate Finance and Investor Relations. Please go ahead.
Kevin Smith: Welcome to Seadrill's Fourth Quarter 2025 Earnings Call. I'm Kevin Smith, Vice President of Corporate Finance and Investor Relations; and I'm joined today by Simon Johnson, President and Chief Executive Officer; Samir Ali, Executive Vice President and Chief Commercial Officer; and Grant Creed, Executive Vice President and Chief Financial Officer. Our call will include forward-looking statements that involve risks and uncertainty. Actual results may differ materially. No one should assume these forward-looking statements remain valid later in the quarter or year, and we assume no obligation to update them, except as required by securities laws. Our filings with the U.S. Securities and Exchange Commission provide a more detailed discussion of our forward-looking statements and the risk factors affecting our business. During the call, we will also reference non-GAAP measures. Our earnings release furnished to the SEC and available on our website includes reconciliations with the nearest corresponding GAAP measures. Our use of the term EBITDA on today's call corresponds with the term adjusted EBITDA as defined in our earnings release. I'll now turn the call over to Simon.
Simon Johnson: Thanks, Kevin. Hello, and thank you for joining us for today's call. I'll begin by recapping our 2025 achievements before moving to the broader market outlook. Following my remarks, Samir will discuss recent contracting successes and our commercial outlook. Grant will then review fourth quarter and full year 2025 financial results before providing guidance for 2026. For full year 2025, we delivered EBITDA of $353 million, exceeding the midpoint of the original guidance range in what proved to be a very challenging market. Safety is the foundation of everything we do. And in 2025, Seadrill raised the bar again. We achieved the best safety performance in our history as measured by total recordable incident rate, delivering 50% better than the IADC offshore industry benchmark. That kind of margin is not accidental. It's the product of rigorous standards, elite crews and uncompromising operational discipline. That operational discipline does not stop at safety. It translates directly into performance. In 2025, we did not simply perform well, we separated ourselves from the pack. The West Neptune reinforced its best-in-class reputation by delivering a record-breaking 6 zone completion for LLOG in the U.S. Gulf, completing the program in 11 days and exceeding the prior benchmark by an impressive 60%. That level of execution is why the rig is now entering its second decade under continuous contract. Following Harbour Energy's acquisition of LLOG, we look forward to extending what has already been an exceptional long-term partnership built on performance. Additionally, West Polaris and West Neptune delivered highly complex NPD programs using state-of-the-art integrated riser joint technology, which translated into more than 12 hours saved during rig up and rig down per well and meaningful economic value for our customers. With over 100 MPD wells drilled, our crews operate further up the learning curve than most in the industry. The West Elara and ConocoPhillips Supplier of the Year Award for their focus on execution, recognition that reflects not just performance metrics, but the consistency and reliability that sophisticated operators demand. Meanwhile, the West Tellus reached an outstanding milestone, 400 consecutive days of BOP subsea deployment while delivering 5 wells offshore Brazil. This marks the second longest deployment in our fleet history, demonstrating the durability of both our equipment and our crews in a demanding deepwater environment. This superior performance has already extended into 2026. In January, the Sevan Louisiana successfully executed 2 well interventions using Trendsetter's innovative Trident system, its first deployment in the U.S. Gulf. This advanced technology is broadening the rig's market potential, attracting attention from customers who appreciate its operational flexibility and its proven effectiveness in both shallow and deepwater environments. Our strategic partnership with Trendsetter has resulted in a truly differentiated offering that will continue to deliver advantages for both companies well into the future. None of this performance is coincidental. Throughout 2025, we invested deliberately in our people through ongoing professional development opportunities. We expanded course offerings at the Seadrill Academy in Dubai, operational discipline and technical services workshops around the world and launched our first safety leadership assessment program. We conducted training in simulated environments that replicate our equipment and procedures, resulting in a cycle of self-improvement and advancement in our operational practice. Our customers consistently reference the quality of our crews, their can-do attitude and their focus on well site performance over centralized bureaucracy. This is what operating at the top of the performance curve looks like, technical capability matched by disciplined execution. Commercially, in a competitive market, we maximize utilization across our high-specification fleet. Our backlog profile provides strong revenue visibility into 2026, growing coverage into 2027 and substantial contracting leverage in an improving market. The West Capella's return to operations in the second quarter of 2026 represents a significant enhancement to Seadrill's forward earnings trajectory. The 14-month award from long-standing customer, PTTEP, reflects confidence in the rig's consistent performance throughout its many years in service and reinforces our competitive position in a region experiencing growing energy consumption and offshore activity. Turning to the broader market. The current macro environment is the most favorable in recent memory. After a subdued 2025, the ultra-deepwater market entered 2026 with renewed strength. Tightening supply and increasing visibility point towards an even more robust 2027 as day rates, utilization and contract durations gain positive momentum. The International Energy Agency's annual World Energy outlook now projects that oil and gas demand will grow through 2050, a notable reversal from prior expectations of a near-term peak. Declining production from existing fields and rising consumption is forecast to quickly absorb any near-term oversupply. In fact, the market will require roughly 25 million barrels per day of new production by 2035 just to remain in balance. Growing oil demand, operators pivoting back towards deepwater and mounting confidence in the next exploration wave all indicate the beginning of an upcycle. For several quarters, we have consistently highlighted that operators have prioritized shareholder returns over reserve replacement. The impact of underinvestment is becoming increasingly evident and that narrative is beginning to flip. Amid projections of growing oil and gas demand and the lagging energy transition, the longevity of reserves is becoming a focal point for oil majors and the sell side. The Financial Times last week reported that oil and gas super majors are undergoing increasing pressure to spell out their growth plans after years focused on shareholder returns and capital discipline. They are now facing growing calls to explain the visibility of future production and where the new barrels will come from. It seems that concerns about short-term supply imbalances have receded in the wake of a far bigger problem. Momentum behind the strategic pivot to deepwater continues to build. Just last week, Eni announced significant new discoveries in Namibia and Cote d'Ivoire, underscoring the growing scale of opportunity in frontier offshore basins. Importantly, this trend extends beyond the majors. The government of India, for instance, has outlined plans to drill 150 wells over the next 7 years, activity that could necessitate up to 5 additional floaters. We've highlighted growing deepwater exploration from the majors and activity has accelerated as they intensify efforts to secure future growth. Shell recently acknowledged the need to rebuild its exploration pipeline after reserves fell to the lowest level since 2013. We can already see this in action with Shell signing a joint study agreement for exploration blocks in Indonesia, marking the return following the 2023 exit. Chevron plans to increase annual exploration spending by roughly 50% over coming years with 10 to 15 exploration wells in the U.S. Gulf and 20 exploration wells in West Africa during the next 3 to 5 years. Chevron also signed an agreement for offshore exploration in Syria and acquired 4 blocks offshore Greece earlier this month. Petrobras is returning to Namibia after acquiring an interest in the block in the Luderitz Basin and Libya recently awarded blocks under its first lease sale in 17 years. The need for new reserves and sustained production growth is increasingly urgent. Exploration is back and it's scaling. And with that, I'll turn the call over to Samir.
Samir Ali: Thanks, Simon, and good day to everyone. I'll walk through our recent contracting activity before sharing our thoughts on the commercial landscape for the year ahead. Despite a competitive environment in 2025, the value of contracts we secured has grown every quarter over the last 12 months. Our disciplined approach to fleet management, minimizing idle time and securing contracts that maximize our assets' technical capabilities has established a solid foundation as the balance between global offshore rig supply and customer demand becomes increasingly constrained. Since our last earnings update, we've added $0.5 billion to our contracted backlog, which currently stands at approximately $2.5 billion. In the U.S. Gulf, Seadrill continues to be a preferred contractor. Our skilled teams consistently deliver high performance, earning repeat work and recognition. In December, the West Neptune secured a 4-month extension with LLOG, securing the rig schedule into September and adding $48 million to contracted backlog. As Simon mentioned earlier, we look forward to deepening our partnership with LLOG under its new ownership, building on over a decade of productive collaboration and shared success. Staying in the region, the Sevan Louisiana has been awarded a well intervention program with 2 different customers. We are pleased to report on the successful deployment of the Trendsetter Trident well intervention system on our campaign with Walter Oil and Gas. After completing the work with Walter, we are eager to demonstrate the Sevan's continued versatility through upcoming work with a large IOC. Outside the U.S. Gulf, Seadrill has been actively securing several contracts over the last 3 months. In Angola, TotalEnergies exercised a priced option to commit to Sonangol Quenguela for an additional 10 months into February 2027. In Norway, Equinor awarded the West Talara a 450-day accommodation contract after we reached a mutual agreement with ConocoPhillips to make the rig available. In Brazil, the West Carina extended its current contract with Petrobras through April 2026. Also in Brazil, Equinor exercised a priced option on the West Saturn, keeping the rig working through October 2027. Lastly, the West Capella was successful in a competitive tender with PTTEP in Malaysia. The program is anticipated to commence in the second quarter of 2026, contributing $152 million to contracted backlog over an estimated period of 440 days. More importantly, the reactivation of the West Capella strengthens Seadrill's earnings potential in 2026 and 2027, reaffirming our presence in Southeast Asia, one of the most exciting geographies for deepwater demand. This award reflects our disciplined approach to reactivations, deploying capital selectively, where we see strong customer commitments and attractive return potential. Turning to our outlook. We maintain our confidence in deepwater demand in '26 with even more optimism looking into 2027. The offshore drilling industry operates on a simple principle, utilization drives day rates. With committed drillship utilization currently at 88% and sideline capacity unlikely to enter the market, supply constraints are likely to intensify as demand continues to rise. Although some market softness may persist in certain geographies during parts of the year, the sheer number of opportunities and the durations of programs are increasing, particularly in high-growth regions such as Africa and Southeast Asia. Seadrill is well positioned to capitalize on that opportunity set. At present, 90% of the midpoint of our 2026 revenue range is covered by firm backlog and we are having ongoing conversations regarding the rigs that have near-term availability. In the U.S. Gulf, recent day rates have remained stable in the low 400s. And despite some near-term softness, we anticipate rates will remain in this range. 7 drillships, including the West Neptune and the West Vela are set to become available in 2026. Importantly, for our rigs, both are contracted in the first half of the year, allowing us time to secure work in the second half of the year. With several long-term opportunities in undersupplied geographies, we expect some rigs will be bid outside of the region and may leave the U.S. Gulf. Nevertheless, short lead times in the U.S. Gulf means demand can recover swiftly. Our assets in the region demonstrate outstanding technical performance. As Simon pointed out, the West Neptune has consistently set new records. The West Vela has a reputation for completing projects ahead of schedule and under budget and the Sevan Louisiana is drawing increasing interest from clients who appreciate its unique capabilities and strong results in niche applications. All 3 rigs are at the top of the performance curve and are very well placed to fill their schedules in 2026 and 2027 in the U.S. Gulf or in other regions. Moving to Brazil. IOCs have begun to consume rig capacity. Recent awards from Shell and BP and an ongoing tender with Equinor are positive developments that help mitigate current uncertainty around NOC plans. The West Carina, our seventh generation drillship equipped with MPD and dual BOV capabilities is set to finish its current contract at the end of April. We continue to actively market the rig for opportunities with customers in Brazil and outside the country for a wide range of projects starting in the second half of '26 and early '27. In West Africa, our final rig with availability in 2026 is the West Gemini, which is currently operating under the Sonadrill joint venture. As noted in the previous quarters, recent contracting awards for all 3 rigs within the JV reinforced its stability and our market-leading position in Angola. The West Gemini has promising prospects to secure additional work through the joint venture, both in Angola and across Africa beginning in late '26 and early 2027. The outlook for global deepwater demand is becoming clearer and leading indicators support this perspective. Market research by Westwood shows the number of subsea tree installations has increased for 5 consecutive quarters. They also forecast that floater utilization rates will recover, reaching 91% in 2026 and 96% in 2027. Additionally, there are 44 years' worth of outsetting floater requirements with commencements across Africa and Asia alone. Ongoing industry consolidation continues to support a more rational supply environment, reinforcing on the sustainable pricing improvements. And as ever, market research does not capture opportunities resulting from direct negotiations. The foundation for 2026 has been laid. In particular, the benefit of repricing legacy contracts for the West Jupiter, West Tellus and West Saturn will be felt in the second half of the year and even more so in 2027. This should set the stage for a meaningful increase in earnings and free cash flow. For Seadrill's fleet, we are not just predicting increasing day rates, we are already securing them. And with that, I'll hand it over to Grant.
Grant Creed: Thanks, Samir. I'll now walk through our fourth quarter and full year 2025 performance before providing our outlook for 2026. For the fourth quarter of 2025, total operating revenues were $362 million compared to $363 million in the prior quarter. Contract drilling revenues were $273 million, a sequential decrease of $7 million, driven by fewer operating days for the West Vela, which commenced a new contract in mid-November. This impact was partially offset by additional operating days for the Sevan Louisiana. Reimbursable revenues, which increased $5 million during the fourth quarter to $16 million, partially offset the decrease in contract drilling revenues. Total operating expenses for the fourth quarter were $344 million, a sequential increase of $7 million, mostly due to a rise in depreciation and amortization costs associated with the capitalization of recently completed SBS and capital projects. SG&A was flat quarter-on-quarter at $27 million. Resulting fourth quarter EBITDA was $88 million, bringing full year 2025 EBITDA to $353 million, exceeding the midpoint of the guidance range previously provided. Turning to the balance sheet. We ended the year with a total cash balance of $365 million, which includes $26 million in restricted cash. The $63 million use of cash during the fourth quarter was primarily related to 3 items; a $43 million payment for the unfavorable legal judgment related to the Sonadrill joint venture as previously disclosed in 2025; accelerated capital and long-term maintenance expenditure, which was $69 million in the fourth quarter as we brought forward spend relating to contract preparations for the West Jupiter and West Tellus and a new contract for the West Capella. And finally, the timing of accounts payable disbursements. Overall, we continue to maintain a robust balance sheet with total liquidity of $524 million. And at the end of the fourth quarter, gross principal debt was $625 million with maturities extending through 2030. Moving on to our outlook for the year ahead. For full year 2026, we anticipate total operating revenues of $1.4 billion to $1.45 billion and that excludes $50 million of reimbursable revenues, and EBITDA of $350 million to $400 million. And that EBITDA guidance includes a noncash expense of $26 million related to amortization and mobilization costs and revenues. In terms of timing of this EBITDA generation, we expect Q1 to be lower than subsequent quarters as the West Jupiter, West Tellus and West Capella undergo new contract preparations. We then expect a step-up in Q2 following the commencement of these contracts. As a reminder, both the West Jupiter and West Tellus are repricing to 3-year contracts at day rates roughly $200,000 per day higher than before, amplifying the benefit of the West Capella resuming operations. Full year capital expenditure and long-term maintenance guidance range is $200 million to $240 million, a significant step down from the previous 2 years. We expect an inflection to strong cash flow generation in the middle of this year after the West Jupiter, West Tellus and West Capella commenced contracts and the associated CapEx for contract readiness and working capital investments are behind us. In summary, Seadrill has built a solid foundation and is now well positioned for future earnings and cash flow expansion. The combination of an expanded working fleet, the repricing of legacy day rates, which are already embedded in backlog and declining capital expenditures significantly enhances the earnings and cash flow potential of the company in the second half of 2026 and into 2027. Improving market conditions as widely predicted by industry participants are a catalyst for further earnings growth. And with that, I'll hand the call back to Simon for his closing remarks.
Simon Johnson: Thank you, Grant. We delivered against our EBITDA target in 2025 while achieving record safety performance, setting operational records and investing in our people to widen that gap. We see a clear path to meaningful earnings and free cash flow expansion in the second half of 2026 and growing into 2027. Our commercial execution and backlog visibility provide a solid foundation, while our substantial contracting leverage and improving market conditions positions us to capture rate upside as the cycle accelerates. We have long maintained that consolidation is healthy for our industry and view the recently announced combination of 2 of our peers as further evidence of an increasingly durable market structure. Our clients agree on the need for resilient, well-funded drilling companies that consistently perform at the highest level through time. Following the latest industry consolidation, Seadrill will be the third largest deepwater driller in the world and we see a gap between our fleet and the smaller drillers behind us. Against this backdrop, we believe Seadrill continues to represent a compelling value opportunity. Our share price has appreciated more than 50% over the last 3 months, yet continues to trade at a meaningful discount to the U.S. listed offshore driller peer group on both forward earnings multiples and implied steel values. To close, I would like to thank our valued customers, partners and shareholders for your continued confidence. To our dedicated employees, particularly our offshore crews, thank you for your enormous efforts over the past year. Every success we achieved happened because of your teamwork and commitment to operational discipline, following procedures, using our tools and doing every job the right way every time. We delivered in a challenging market. We are setting the standard in deepwater drilling and we are positioned to lead as the cycle strengthens. I'll now hand the call over for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Eddie Kim with Barclays.
Eddie Kim: Simon, you highlighted a more robust 2027 in your prepared remarks with day rates, utilization and contract durations gaining positive momentum. Leading-edge day rates for top-tier drillships right now are in the low $400s range. Do you expect that as the market begins to tighten, we could see day rates on contract announcements sometime next year returning back to that sort of mid-$400s level? Or do you think that's looking more like a 2028 event?
Simon Johnson: Look, Eddie, I think you're going to see some rate movement now based on the data that we're seeing in the market, both the number of tenders, the capacity that's already been booked up with contracts starting in '27. I would expect our rates in excess of those levels, to be perfectly honest. You may see that in '26, in fact. That's not to say it's going to be a smooth path. I think as those people who have existing white space seek to fill the front ends or the back ends of their projects they committed to, you may see a broader range of fixtures. But I think based on the data we're seeing, and Samir can go into some greater detail, I think the rates will be at higher rates than the ones you talked about.
Samir Ali: So we're seeing demand increase and supply is inelastic. So as utilization continues to improve, we should see day rates continue to climb. But I think it will be dependent on the geography. You'll see certain geographies move before others. But directionally, it feels like utilization is going to improve as we enter into '27 and definitely into 2028.
Eddie Kim: Got it. That's great to hear. My follow-up is on the Petrobras blend and extends. I'm a bit surprised we haven't seen the conclusion of these negotiations from either yourself or your peers. When do you expect these negotiations are going to conclude? And is the likely result of these blend and extend negotiations currently reflected in the full year guidance you've provided? Or would that represent an incremental impact?
Simon Johnson: Well, look, Eddie, we continue to have really positive discussions with Petrobras, but we don't control the timing there. So the way I would describe it is that I think it's working through the system I wouldn't see anything untoward. I don't want to make any predictions about when that will come to pass. But our focus down there in Brazil has been to identify those rigs that are best matched to the requirements of Petrobras in the longer term. And that's what we focused on in terms of blend and extend. But Grant, I'll pass to you for the second one.
Grant Creed: Yes. On the guidance, when we put our forecast together, Eddie, we use, of course, a number of assumptions, but we use the best information available to us at the time when putting that together.
Operator: Your next question comes from the line of Fredrik Stene with Clarksons Securities.
Fredrik Stene: So I was hoping that you could maybe give a bit more color on how you're thinking about your fleet. As you walked through this in your prepared remarks, the near-term availability is mostly concentrated in the U.S. Gulf. And it seems like there are possible changes and movement of some of those rigs potentially going to other regions. You mentioned Africa, Southeast Asia as regions to where rigs could potentially go, either yours or somebody else's. So I was wondering, are you able to give a bit more color on how you're kind of strategically positioning these vessels in terms of chasing short-term versus long-term work? Are there any vessels that you would prefer to stay in the Gulf, et cetera? And as like a sideline question to that, but within the same theme of potential rig movements, you have great exposure to Brazil. Are you considering proactively moving or bidding some of those rigs ending in '27, '28 into other regions just to lower your exposure there? Or are you kind of happy with that? Sorry, that actually turned out to be 2 separate questions, but hopefully [indiscernible].
Samir Ali: So Fredrik, I'd say, look, with the U.S. Gulf fleet, we are obviously looking at opportunities both in the U.S. Gulf and outside the U.S. Gulf. They are some of the highest spec rigs out there in the world and some of the best performing rigs in the world. So for us, it will be -- it's an economic choice. If we can find work in the U.S. Gulf, we'll keep them here, but they are mobile assets. And if we find an economic alternative outside of the country, outside of the U.S. we'd happily move them. So for us, it really does come down to where do we generate the highest cash flow off of those assets. And we're not married to one geography over the other. But moving rigs is expensive. So look, we'll keep them here. But if we can't find work that makes sense, we will absolutely move them. I'd say the same thing applies to our fleet in Brazil, right? I mean, we are happy to move rigs around. It is not cheap, but if it makes sense, we will do it. We do have a lot of exposure to Brazil. So I wouldn't see us sending more rigs down there. Could we move an asset or 2? Potentially. But that's kind of how I classify how we view the market is we'll move them where it makes the most sense.
Fredrik Stene: All right. That's fair. Then I guess this is my follow-up. But on the stacked fleet, Aquaria, Phoenix, Eclipse, do you have any updates on any of those assets since last time?
Simon Johnson: There's nothing really to share at this time. I mean, the West Eclipse has been long-term stacked down in Namibia. Of the 3 rigs that you mentioned, that's probably the one that's least likelihood of reactivation. That's a low-spec asset, requires material capital investment to reactivate it and it's not terribly competitive in terms of its overall specification. However, I think the situation is a little bit different for the Phoenix and the Aquarius. They are also burdened with high reactivation costs. We want to be good stewards of our precious capital. And we're just waiting for the right market dynamic. And most importantly, whereby that large capital investment can be defrayed by a material contribution by the underlying customer. That's a necessary prerequisite to bringing them back to life. But the harsh environment, in particular, has improved dramatically over the last 12, 18 months. It's been one of the best performing sectors of the rig market. And I think we're still watching and waiting. We just need the right term of work and the right customer with a checkbook to fund the bringing the rig back to work.
Samir Ali: The only thing I'd add to that is we're actively marketing those rigs, but it's finding that right opportunity that, to Simon's point, justifies the investment. But we announced a contract for the Elara. So we are in Norway for the foreseeable future. So for us, we have a shore base and we'd like to add more capacity to kind of cluster more rigs in that region.
Operator: Your next question comes from the line of Greg Lewis with BTIG.
Gregory Lewis: Simon, everybody, you mentioned the consolidation in the space. I'm kind of curious, I know in the past, you've talked about really a viable company in the offshore space kind of to be a real competitor and have a global presence needing, I think in the past, you've talked about 15 rigs. I guess my question is around, yes, I mean, hey, your stock has had a tremendous run. It is still at a discount versus maybe some of your peers. Maybe that's scale, maybe that's other reasons. We could debate that all day long. But I guess my question is, just given the price appreciation and now it looks like you're -- it looks like you are the third largest driller left standing, how do you think about using your equity capital to potentially expand your fleet? And I know we've seen this in other industries, not necessarily in the offshore drilling industry, but kind of the use for shares for rigs. Just kind of curious, just given that, hey, it is definitely a pyramid structure in the offshore drilling industry where there are a few players at the top and then there are more than a few companies that have 1 or 2, just a few rigs with a small presence, just kind of curious how you're thinking about just given the run-up in the stock, potentially using your equity capital to expand your fleet and what looks like a very attractive time to be expanding the fleet at this point in the cycle?
Simon Johnson: Yes. Look, we see the cycle as very constructive. And as I mentioned to an earlier question, we think there's going to be day rate development in the months, years ahead. So that's obviously very attractive. We're also mindful that we've done a lot of hard work over the last couple of years in terms of rightsizing the fleet and putting effort into optimizing the running of the organization. So obviously, there's been a lot of speculation about what the future might hold following recent [ RigVell ] transaction. The customers and vendors have out consolidated the drillers in recent years. Despite the capital-intensive nature of our segment, the drillers remain fragmented. So there's definitely work to be done. And there's a sense of inevitability about further consolidation. I would say that there's a long tail of subscale competitors, but any opportunities for Seadrill will need to be strategically compelling and competitive within our overall capital allocation framework. So we're constantly surveilling the market, but I think you can really expect us to be disciplined. Our shareholders have been very patient. And as our average daily rate has been improving in '27 and the revenue profile that we expect to benefit from in that year starts to come into focus, we want to make sure that we're careful with the capital that we've got. We're careful with the equity currency. I think you can anticipate they'll be very disciplined as we look at any opportunities that might appear. Anything to add to that, Grant?
Grant Creed: I think that covers it.
Gregory Lewis: Okay. Great. And then I was hoping you could talk -- I'm curious on your thoughts around the recent ONGC tender. I know there's a couple of rigs in country. I believe they contracted a drillship earlier this month. But really, I mean, you were one of the last international contract drillers there with the Polaris, which I guess, when that rig kind of left, that was kind of the start of the current weakness that we've been seeing in the market. Just kind of curious, any thoughts around the timing of those tenders? Is that -- I believe it's 3 drillships and 2 semis. Is that firm? Just kind of when do you -- and more importantly, when do we actually think we could actually see some progress from ONGC in awarding those tenders, i.e., when are bids potentially due for that to give them time to digest those and come back with awards?
Simon Johnson: Yes. Great question, Greg. Let me start off and then Samir can jump into the granularity. But I think the Indian market has been very quiet in recent years. So this was a surprise news to us. I think it's really positive. I think it's an example of work programs that hadn't been previously anticipated coming to the fore. It's not the only place where we're seeing activity pop up that was not expected. But certainly, the sheer number of rigs that they're talking about across ONGC and Oil India is obviously of tremendous interest. We like operating in India. There's a great cost structure there. And we think that the local energy demand picture is compelling, frankly. So we intend to participate. But Samir can talk a little bit about the specific opportunities.
Samir Ali: Yes. So look, we were one of the first to come out saying Southeast Asia, I'll include India, and that was a market -- growth market. And I think the ONGC tender's more just emblematic of the demand we're seeing out there, right? There is an upswell of demand coming from not just ONGC, but there's other operators that we're expecting will launch here shortly or have launched. So it's more of a broad-based demand. And I think that's the key for us is ONGC will absorb 3 ships potentially and 2 semis. In terms of timing, it could be late this year, early next year, but we'll figure that out as we go through the process. But more, I think that the key is it is an upswelling of demand and it's not in one particular country. It's not just India. It's not just Indonesia. You are seeing demand across the board in that part of the world.
Operator: Your next question comes from the line of Keith Beckmann with Pickering Energy Partners.
Keith Beckmann: Similar to kind of what we've been hearing here, we've seen some large tenders show up recently as well as some increased contracting over the last month here, which has been positive to see within the space. I just wanted to get an idea of if in customer conversations, are you starting to see operators get a little bit more aggressive on locking up capacity in '27 and beyond over the last months here?
Samir Ali: It's still early days. I think some of them are starting to come around to that. Some of them are still holding out hope. But I think that shift is coming and the tone in the conversations is moving towards looking at capacity in '27, '28, '29 even. So you do have clients going further and further out and that to us and the terms is increasing as well, right? People are going longer term, which usually means that there is a growing concern that there might not be the supply available that they want.
Simon Johnson: I think the broader picture, too, is that we see exploration improving in every area, whether it's about new leasing rounds, whether it's about people shooting seismic. Some of the near-term indicators, FIDs are up year-on-year, subsea tree awards are up year-on-year. There's a whole picture of improvement here that's supportive and exciting.
Keith Beckmann: Awesome. That's great to hear. And then my second question, well, hit on a little bit already. I just wanted to get an idea on for the second half '26 here, what's -- I think you guys said 90% contracted at the midpoint of revenues. What's kind of the maybe outlook between the Vela and Neptune and Carina, the ones that are rolling off here and then maybe even throw in Louisiana as well since it keeps finding ways to win work?
Samir Ali: Yes. So look, we have active dialogue on all of those rigs. And I think that's the important part. So for us, we've got to turn those conversations into contracts. And we've made some reasonable assumptions on what we can do there. But I think for us, it was a, let's see what we can do, but we have active dialogue on all 4 of the assets, some in the U.S. Gulf, some outside of the U.S. Gulf, just given most of those rigs sit here in the U.S.
Operator: Your next question comes from the line of Hamed Khorsand with BWS Financial.
Hamed Khorsand: So the first question is just on your outlook. Obviously, there's been a lot more activity there. But that was also the case in the prior years at the starting point that you would see some sort of pickup by the end of '26, early '27. Is there certainty that these tenders would close in time that you could foster some sort of revenue and EBITDA improvement as the year closes? Or is this more just tentative industry talk right now?
Samir Ali: Yes. So I'd say the difference here is the real tenders that are in market. Some of them candidly may fall away, but there's also the direct negotiations that we're having with particular clients and I'm sure my peers are having with their clients. So when you take all that into balance, it seems like it is different this time around. And the other thing is we're not reliant on one country or one region. It is broad-based across the world. You're seeing demand in parts of Asia, in West Africa, East Africa. So it is -- we're not relying on one country. We're not relying on one client. So it does feel like if you take the tenders that we know of right now, plus direct conversations we're having and even if some of them fall away, you still should expect utilization to increase, which will drive day rates.
Hamed Khorsand: And then given this backdrop, what's the conversation here about redeploying your capital to share buybacks?
Grant Creed: Yes, Hamed, look, of course, I can't comment with specifics here, but just point back to the capital allocation, which Simon referenced earlier, our framework that we are out there publicly. It talks about having a minimum level of cash of $250 million, net leverage of 1x and then returning no less than 50% of our free cash flow during the year. And so after we have paid for maintenance CapEx, the remaining cash that we have generated, we look at what's going to generate the highest returns for us, whether that's buying discrete assets or buying our own stock and/or returning capital to shareholders via dividends. We'll review all those and we continuously review all those. I think it's fair to say that with this inflection that I was referring to in my prepared remarks, inflection middle of this year as we move off legacy day rates, we have the Capella resuming operations. We have the Jupiter and Tellus reacceptance projects behind us and the working capital investments behind us, we will be inflecting to cash flow-positive in quite some significant way. And so that question will become certainly more relevant as we go forward.
Operator: Your last and final question comes from the line of Noel Parks with Tuohy Brothers.
Noel Parks: I've been thinking about -- it has been a long 18 months here and seeing the stock rebound has been great, rewarding the patience that you observed has definitely been good for investors. And I guess I'm just trying to get a sense on maybe the trajectory on pricing. And thinking as an example, if you have a customer that is -- needs to talk about a contract renewal or extension where it's pretty obvious that they're going to hang on to the rig, just wondering what the discussion is like there? Are they totally open to realities of pricing upside? Are they open to pricing, but looking for longer term? I just wonder what's sort of that -- those stable relationships, how those guys are coming to the table these days?
Samir Ali: I'd say each one of them is unique and kind of has their own dance that we have to go through. Some of them are always willing to give you a bit more term for a better day rate. Some are, look, I've got a 1-, 2-, 3-well program, and this is the rate I'm willing to pay and they'll pay a bit of a premium for the flexibility. So unfortunately, there's not a one-size-fits-all for our client base. But I think overall, we're having those conversations of, look, this is the new reality. Utilization is starting to improve. We do have a few other alternatives. So we're able to kind of push rates where we can. But I'd be cautious to say also that it really depends on what part of the market you're in, in terms of geography and what the utilization is of kind of assets in that geography.
Simon Johnson: I think it's also worth adding, Noel, that if you go back to where we were 12, 18 months ago in the similar sort of day rate paradigm, broadly speaking, you didn't have any problem getting access to a rig if you needed one. You contrast that with the situation that we see developing, emerging at the moment and it's quite different. There's a reduced field of competition for the tenders that we're participating in, certainly starting at the end of the year. And I think that's what's driving our confidence. We just think there's a fundamentally different lead time that the customers are having to observe. And I think your point is well made that it's probably going to drive better conversations with existing clients looking to extend rather than to seek to place capacity outside of existing contracts.
Noel Parks: Right. Interesting. I was listening to a producer recently talk about the service environment. And it seemed they were, I wouldn't say unconcerned about their ability to secure a rig if they have some exploratory success. But they also didn't sound like they really were considering the possibility, as you said, of reduced response to tender, which I think of as people beginning to all rush to crowding through the same door at the same time. Do you have anything under negotiation that you think will attract some real attention when contract terms get announced either near-term or longer-term?
Samir Ali: So we're not going to go into specific contracting right now, but we are starting to see more tenders come, especially for second half of this year, really into '27, where the demand is increasing. I think you'll see some movement of rigs potentially from the U.S. Gulf into those markets, into those regions. So overall, we are seeing movement of rigs from one region to another.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may disconnect.